Operator: Thank you for standing by. My name is Calin. I will be your conference operator today. At this time, I would like to welcome everyone to the Northwest Bancshares Inc 3Q 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer session. [Operator Instructions]. I would now like to turn the call over to Joseph Canfield, Executive Vice President, Chief Accounting Officer. You may begin.
Joseph Canfield: Good morning, everyone, and thank you, operator. Welcome to Northwest Bancshares third quarter 2024 earnings call. Joining me today are Louis Torchio, President and CEO of Northwest Bancshares Inc, the holding company for Northwest Bank; Douglas Schosser, our Chief Financial Officer; and TK Creal, our Chief Credit Officer. During this call, we will refer to information included in the supplemental earnings release presentation, which is available on our Investor Relations website. This presentation includes our forward-looking statements and other data, including non-GAAP measures. Please note that actual results may differ materially from the forward-looking statements made today, October 29, 2024. These statements will not be updated after today's call. Thank you. And now I'll hand it over to Lou.
Louis Torchio: Good morning, everyone. Thank you for joining us to discuss our quarterly results. We delivered solid returns, and I'm pleased with our core financial performance, which Doug will cover momentarily. I'm particularly pleased with our NIM expansion quarter-over-quarter revenue growth and continued improvement in our efficiency ratio. This clearly demonstrates that we are delivering on prior commitments made. Though modest, we continue to see deposits rise even with the near best-in-class cost of funds. In addition, we continue to see positive results from the security portfolio restructure executed last quarter, which continues to positively position Northwest for the upcoming quarters and years ahead. I want to thank every team member for their talent and dedication in producing these results. I'm proud of your hard work and focus on our customers and communities. I'd like to take a moment to discuss the increasingly dynamic M&A environment within our markets. As previously stated, Northwest and our Board are steadfast in our commitment to responsible growth, both organically and through acquisitions. I'm in frequent discussions with other bank leaders and investment bankers positioning Northwest advantageously for future opportunities. Our leadership team remains dedicated to enhancing our performance thereby strengthening our financial standing and bolstering our acquisition potential. Finally, as we have for the past 120 quarters on behalf of the Board of Directors, I'm pleased to declare a quarterly dividend of $0.20 per share to our shareholders of record as of November 8, 2024. Now it's my pleasure to introduce Doug Schosser, Northwest Bank's Chief Financial Officer, who will take us through our financial results.
Doug Schosser: Thank you, Lou, and good morning, everyone. Before we dive in today's presentation, I'd like to welcome Joe Canfield, who you already heard from at the top of the call. Joe recently joined Northwest as our Executive Vice President and Chief Accounting Officer. Additionally, we've named a new Treasurer this quarter, Sean Moro, who's been with the firm for over 7 years and was formerly our Assistant Treasurer, and was promoted with Jeff Maddigan's departure. He was unable to join this call but will be on future calls. Let's begin on Page 4 of the earnings presentation, where I'll highlight Northwest financial results for the third quarter of 2024. We reported net income of $33.6 million or $0.26 per diluted share. Our net interest margin expanded by 13 basis points for this quarter to 3.33%, aided partially by an interest recovery on a nonaccrual loan, which added 4 basis points to that margin. We continue to see our margin increase due to our continued pricing discipline across our balance sheet, including our deposit portfolio and our newly originated loans and supported by a more favorable interest rate environment. Compared to the same quarter last year, our loan portfolio was essentially flat and deposits grew by 3.2%. Excluding a $39 million loss on the sale of the securities as we repositioned our balance sheet. Noninterest income decreased by $3 million due to a loss on an equity method investment, lower gains on the sale of SBA loans and a loss on the sale of some bank owned real estate acquired from past acquisition activity. Noninterest expense decreased by nearly 2% or approximately $2 million from the second quarter. Credit quality remains strong overall allowance coverage slightly increasing to 1.11% of loans from 1.10% last quarter and the year ago quarter. Finally, our capital position remains strong with an estimated Tier 1 capital to risk-weighted assets of 13.7% at 9/30. Now let's delve into additional details. On Page 5, you'll see that our commercial and industrial loans grew by 2.8% since last quarter and 25.7% year-over-year, while residential mortgages declined by $190 million or 5.5% since last year. This shift underscores our focus on commercial banking transformation. Our commercial real estate portfolio shrank by just 1% since last quarter, reflecting a more desirable loan mix with higher share of C&I compared to CRE. Our loan yields have steadily increased over the last 5 quarters, now standing at 5.6%. Moving to Page 6. Deposits remained largely flat since last quarter and up 3.2% year-over-year. Our cost of deposits only increased by 2 basis points, the lowest rate in the past 5 quarters. Most deposit growth occurred in interest-bearing demand products with modest growth in consumer savings and money market accounts. The current cost of deposits stands at 1.78%, which is near best-in-class relative to our peers. On Page 7, we cover the net interest margin, which now stands at 333 basis points a 13 basis point improvement from the second quarter and 10 basis points higher than the same quarter last year. Fully tax equivalent net interest income grew by approximately 4% from $108 million last quarter to $112 million. This marks our second consecutive quarter of net interest income growth and NIM improvement, reflecting reduced borrowings, higher loan yields and no growth in our cost of funds. We ended the quarter with a cost of funds at 2.39%, 1 basis point lower than the prior quarter. We have included some additional information on the margin on the next few slides. Now moving to Slide 10. Noninterest income decreased quarter ended September 30, 2023, due to a $3 million decrease in income from bank-owned life insurance, resulting from death benefits received in prior periods. Excluding the $39 million loss on the sale of securities last quarter, noninterest income decreased by $3 million from the prior quarter due to a loss on the equity method investment, lower gains on the sale of SBA loans and a loss on the sale of real estate that was part of some previously acquired banks and was largely vacant. On Slide 11, details of our noninterest expense. Our efficiency ratio improved to 64.8%, reflecting a nearly $2 million reduction in expenses for the quarter. We continue to in-source work previously handled by more expensive third-party firms to reduce overall costs and increase the quality of that work. We remain focused on finding additional cost reductions without impacting core operations or diminishing the service levels our customers expect. Regarding credit quality on Page 12, our allowance to loan coverage increased slightly to 1.1%, with net charge-offs at just 18 basis points for the quarter. Page 13 shows that overall credit performance remained strong, with an improvement in nonperforming assets, while 30-day loan delinquency saw a slight increase of 70 basis points, classified loans also increased slightly to 2.83% of total loans. Slide 14 highlights our commercial loan concentration, showcasing a diverse portfolio. Strong underwriting has helped us avoid many CRE-specific issues, and we have minimal exposure to large metro areas, large metro offices or rent-controlled markets. Finally, let's discuss our outlook for the remainder of the year. We will continue to focus on responsible and profitable loan growth in the commercial space, particularly C&I lending. We anticipate low single-digit loan growth and expect deposits to remain largely flat. We will manage deposit costs while balancing client expectations and market pressures, allowing for modest net interest margin expansion. We expect noninterest income to grow by the mid-single digits off of the 9/30 base given some of the onetime items this quarter. We continue to keep expenses in the low single-digit growth per quarter, positively impacting our efficiency ratio. Both our tax rate and net charge-offs are expected to normalize closer to the third quarter rate for taxes and towards our long-term average for charge-offs. On behalf of the entire leadership team and the Board of Directors, thank you for joining us this morning. I will now turn the call over to the operator who will facilitate the live Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Daniel Tamayo with Raymond James. Your line is open.
Daniel Tamayo: Maybe first, just starting on the fee income guidance. Just curious, it looks like it's a little bit lower number than what I was looking for, and then you had the losses in the mark-to-market in the fourth quarter within the other. So I'm curious if that is still a good number kind of going forward that $1 million, given you're talking about the guidance off of the $27 million, $28 million number in the third quarter going forward as kind of we get into 2025 or if that's going to go back to a number similar to what we saw in prior quarters, maybe in the $2 million or $3 million range per quarter.
Doug Schosser: Yes. We'll provide more guidance for 2025 when we go through the full fourth quarter results sometime in January. So we'll update that guidance. But for now, we're just guiding to sort of a more normalized level after you account for some of the onetime losses that we had for the fourth quarter.
Daniel Tamayo: So just to be clear then, you're expecting a number similar to the $1 million level in the fourth quarter?
Doug Schosser: Yes. I would say we're expecting a number closer to where we were at -- in the third quarter after you adjust for the secured -- or the second quarter after you adjust for the security losses. So again, if you're going to rebound back to mid-single digits, you're going to pick up another couple of million dollars on that line and $1.5 million to $3 million, somewhere in that range. So we should expect to get back to that kind of level, that core level of $29 million, $30 million, something like that.
Daniel Tamayo: So when you say mid-single digits, you're not saying annualized, you're talking about, I guess, stated mid-single digits from the third quarter. I think that may be a confusion. Got it. Okay. All right. And then also, I guess, maybe looking at the credit side, so it looks like your normalized net charge-off guidance went up from last quarter. So curious kind of what drove that thought? And then if there was visibility into kind of the path of getting there, if that -- if you're -- when you say you're getting trending towards that, if that's because you see something near term that's going to take you into that range or if that's more of a -- just we expect to be there at some point.
Doug Schosser: Yes. It's more of the latter, right? We're just trying to guide to what a normalized level of charge-offs would be for the firm over a long period of time. So we're obviously in a really, really good credit quality environment right now. So I think most banks are saying the same thing, right? We do expect this environment will normalize and it will get closer to those long-term averages. We're not suggesting that we expect any 1 quarter to be significantly different. It's more -- you're going to see some volatility in it as individual credits can create a bit of volatility when you're at these low levels.
Daniel Tamayo: And in terms of the increase in the normalized guidance from last quarter, what was the driver there?
Doug Schosser: I think that was just more me getting clarification from credit partners as to what that longer-term normal would be. So last quarter, we were guiding a little bit lower than that, which is true. We haven't really changed our credit outlook, although the guide is a little bit higher. Again, it is not indicative of a single quarter. It's indicative more of a long-term trend. So just getting a little bit more consistent with where internally we are. As we continue to -- I will add to as we continue to rebalance towards more commercial, you're going to expect a little bit of a different profile going forward. But again, we're talking longer-term trends, not a specific quarter that I'm guiding to.
Operator: And your next question comes from the line of Manuel Navas with D.A. Davidson. Your line is open.
Manuel Navas: Can you remind us some of your targets in M&A kind of financial hurdles, geographies that you might be finding intriguing and size of targets and opportunities that you're looking for? Just kind of reset that for us.
Louis Torchio: Yes. So similar to last quarter, I would say that first of all, we're focused in market in our 4-state footprint. And the opportunities that come up to us really fall into a couple of different categories, sort of an end market deal, something that probably looks more like the geography in Columbus and Indianapolis growth markets that we happen to be in and around. And then -- and finally, maybe strategic from a product or a diversification standpoint. But I would say that the most important thing for us is really how accretive it is. What it's going to cost us to acquire. We're really in tune with that. And then I think strategically, some of the end-market stuff is -- since we haven't really had an acquisition since the COVID year, we'd be looking at doing something that we're confident we can execute on, right? Highly accretive, a size -- from a size perspective, more of what you expected in the past, the $1 billion to $3 billion range and something that we feel highly confident in executing on making the deal accretive. The other note there is in the 2 fast-growing markets being Columbus and Indianapolis. We're going into strategic planning here in a month and we're evaluating de novo strategy, branch expansion in those areas. We've already hired some commercial lenders. We've got some business bankers. And we're looking at the viability of using some capital to expand in those -- in the 2 fastest growth markets in the Midwest from a de novo strategy. So as I stated in my statement, the market is picking up. I'm out in the marketplace, meeting with other bank CEOs. We're having some conversations. But we're going to be very prescriptive and very careful to make sure that our transaction is going to be highly accretive.
Doug Schosser: And Manny, the only thing I would add, too, is we are looking for similar low-cost granular deposit basis as well. So we'll be looking for deals that will add to the strengths that we already have within this franchise.
Manuel Navas: That's interesting about the LPO development, that leads to kind of my next question is, can you go into where you had strength on the commercial side kind of business line and regionally and kind of where do you have strengthened commercial regionally?
Doug Schosser: Yes. I mean I would say that the overall model for commercial continues as we've done our expansion. So I think we've talked about it before. So we have some new verticals that have come online. Several of them actually started this year. So you've got sports finance, you've got sponsor finance, franchise finance. We've got a corporate finance team, and we have equipment finance. So as you continue to see all of those businesses mature, equipment finance, corporate finance being the longest term ones, you're just starting to see our folks build pipelines and get more advance, which we expect that progress to continue. So in talking a little bit to J.D. Marco, he's seeing his pipelines grow anywhere from 10% to 20%. That's in the highly probable categories. And again, I think it's just a matter of maturation as these businesses are on the ground longer as our credit teams and business leaders are out getting more confidence in the type of deals that will get approved, you're going to start to see some more consistent growth. So I would say it is relatively broad-based across all of those verticals, and we continue to look forward to those particular verticals maturing over the course of 2025.
Manuel Navas: Any reason stand out more than others?
Doug Schosser: I don't know that I've seen any major concentration in any 1 of our regions in terms of opportunities or actual credits that we've approved.
Manuel Navas: And then just a quick follow-up on the NIM. What are you kind of assuming in terms of initial deposit betas in your guidance or initial loan betas for the fourth quarter? And where can they go on the full cycle? Just kind of talk through that a little bit.
Doug Schosser: Yes. Again, I think we'll provide a little bit more color on that going into 2025 in terms of what our margin guidance will be. I will just say that this last rate cut. Some of our deposit pricing changes didn't go in until the very end of September, like literally on the 27th of September. So we still have some opportunity there. And we're not suspecting that there is going to be significant additional Fed cuts this year. We have 125 basis point cut in November in the guide that we provided. But again, we're still going to pick up benefit from the last cuts that had some deposit changes that came late in the cycle.
Manuel Navas: How successful were you to lower deposit rates. Do you have like an end-of-period deposit cost level to disclose? How are you doing into October? Has there been pushed back on deposit declines? Yes. So we're not providing an end-of-month guidance. As you've seen, we had very, very low deposit growth this quarter, deposit cost growth, given the fact that I just said we had rates that went in as of 9/27, you can expect that, that deposit costs will continue to trend down next quarter. We have been pleasantly surprised and comfortable with the deposit renewal rates that we've been seeing in the book and in our ability to maintain our deposits with this pricing. So again, I believe we kind of continue to have a very reasonable pricing stance within our markets and against our competition. And we have seen our customer base respond accordingly without having significant levels of runoff as a result of those in line with market price changes that we made.
Operator: And your next question comes from the line of Matthew Breese with Stephens Inc. Your line is open.
Matthew Breese: I was hoping you could help me out with a couple of things. The first one is just, could you break out for us what pure floating rate loans are as a percentage of total loans, meaning priced off super for Prime? And if you have it, what the yield is on that book versus everything else, the adjustable and fixed rate book.
Doug Schosser: Yes. So if you go into our deck on Slide 8, we provided -- although we didn't give you the rate index that they were off of, we did provide fixed and floating percentage across our earning assets. So the aggregate book is showing 24% floating 68% fixed, and you can see it broken down across our categories, and we also provided some additional detail on the funding mix side of things and how those would tend to react over time.
Matthew Breese: I'll just go here. Do you have any idea on the fixed rate, what the duration is or how much do you expect to reprice over the next, call it 12 months?
Doug Schosser: I mean, again, our residential mortgage book is our single largest book. And you can assume like everybody else, that is a pretty long tenured book with relatively low yields. And then the second largest book in that consumer -- well, second largest commercial real estate is the next largest. But if you look at consumer as well, that is a pretty sizable auto loan portfolio that's again going to have generally fixed rate duration but of a much lower fixed rate loans of a lower duration.
Matthew Breese: Could you talk a little bit about the pace of C&I growth? Obviously, that's kind of been the lion's share of growth where it comes recently. Should we expect this kind of pace to continue kind of mid- to high single digits on a quarterly basis? And where do you want to place C&I loans to as a percentage of total loans? Where do you feel like the appropriate levels?
Doug Schosser: Yes. I don't know that we have a specific target of where that level would be. I think we like the C&I business. We've made some significant investments in that business over time. We plan to continue to grow the C&I portfolio as a percent of total. Again, we have a pretty significant amount of runoff in that consumer book that we would like to replaced with some more commercial loans. And I would generally say the commercial real estate book, although we're still in that market, we don't tend to significantly grow that. So the bulk of our commercial growth will be into C&I, and we would tend to run down and support the funding of that by rundown of sort of mortgage home equity and consumer just as natural cash flows in that portfolio occurred.
Louis Torchio: And I would just add to that, this is Lou. I would just add to that, right? What we're -- while we don't really have a target percentage, what we're looking for there is balanced, right? And we're also looking for the ancillary economics that are going to be meaningful to us from a fee standpoint and a deposit standpoint to help us grow deposits. We're under-indexed in the commercial deposit space, we have a real focus on not just giving out loans in the C&I space that eat up capital. So we're looking to gather deposits in our strategy. A number of our businesses like the sponsored finance business, the franchise business, all come with deposits and fees, full deposit relationships. So it's really strategic in that we want a better revenue stream. We want more balanced economics, and we want a loan book that is consistent through various economic cycles. So I think you'll continue to see that remixing, but ultimately, we'll get to the equilibrium there, and I think it will produce much better economic results for us financial results.
Matthew Breese: Last one for me. Just along those lines as we continue to remix into C&I. Is it fair to assume the reserve as a percentage of loans increases as well. We haven't seen it really, at least on that metric very much year-over-year, but I'm curious if kind of goes on whether or not that that 111 reserve will creep higher?
Doug Schosser: Yes. So we're very in tuned with that remixing, and you're absolutely right. We will see an increase over time in the reserve prudently. We built internally, we've built the infrastructure to make this transition. So we understand the risk-adjusted returns and the increased risk in moving away from, say, residential mortgages into C&I lending. We've built in our risk enterprise, we've built the 3 lines of defense. And we're investing in some Moody's risk rating software, et cetera. So yes, it's all part of the strategy. And we've procured a number of the senior leadership who've been there, done that. So this isn't something that is novel for us. And so I think -- we understand the risk component of the transition and we'll prudently reserve will reflect that.
Operator: And your next question comes from the line of Frank Schiraldi with Piper Sandler. Your line is open.
Frank Schiraldi: You guys have obviously seen some pretty good commercial growth here. And I think, Doug, as you talked about continued runoff on the consumer side of things. Just wondering, just thinking about 4Q, is the level we saw in terms of runoff in the consumer book in the third quarter, that a reasonable place to think about contraction in 4Q. Just trying to think about getting to that low single-digit loan growth in the fourth quarter, given the consumer side of things. Is it further ramp-up in commercial? And any color you can just kind of provide there in terms of quarter-over-quarter growth.
Doug Schosser: Yes. So if you recall, there was quite a bit of -- there was a lower level of overall vehicle sales, I believe, in the third quarter. They had a couple of different things that were working against them in terms of they had that technology matter and then in general, there's just a bit lower demand. So we are looking at our pricing on the consumer book and trying to correct that with some better pricing to drive a little bit more consumer loan growth. So ideally, what we'd like to see is that overall level of decline slow so that we can show the modest loan growth that we're forecasting right now. So again, I mean, subject to the overall economy and what the market is giving us. We are doing things on our side to be priced competitively so that, that runoff slows a little bit or so that the net change in the portfolio is less negative and gives us an opportunity to show that 0% to 2% quarterly guide were given our loan growth. Hopefully, that answers your question.
Frank Schiraldi: And then just thinking credit, obviously, overall look pretty good. You had the increase in classified and you called out specific segment there. Healthcare, and I just wondered if there was -- I think in the past, you guys -- last quarter, you talked about some stabilization you're seeing in that segment. Just curious if the increase in classified reflects any sort of internal review in the quarter? Or just any more color there?
Thomas Creal: Sure. Yes. No, this is TK, Creal. Thanks for the question, Frank. We are reviewing that majority of that portfolio quarterly. So the risk rating changes are reflective of that. That said, as we noted, we had a nonperforming asset, nonperformimg loan payoff, that was within that same portfolio. So what we're seeing is transition of the portfolio through the criticized and classified and then we are seeing a market for these is that nonperforming loans exited the developer is able to find a suitor for it. So we do feel positive about the overall market slowly improving the sector and then we actually had more number of loan upgrades and downgrades. It's just a couple of the downgrades were a larger one. So the dollar actually increased.
Frank Schiraldi: And then just lastly, I just want to make sure just a clarification on part of the guide. When you guys talk about the low single-digit growth in NIM linked quarter into the fourth quarter. I just want to make sure, I don't know if it's to find a point, but anyway, you mentioned, Doug, before basis points on the interest recovery on the nonaccrual loan. So is that low single digits off of the report number off that $3.33?
Doug Schosser: No, it'd be up to $3.29. That's why we wanted to highlight the 4 basis points like despite we had in interest income as we cleared that nonaccrual loan from the books. So you would adjust that down to $3.29 and then you do low single-digit off of that.
Operator: The next question comes from the line of Daniel Cardenas with Janney Montgomery Scott. Your line is open.
Daniel Cardenas: Just a quick question in terms of thoughts on any additional balance sheet restructuring efforts coming into fourth quarter or into 2025.
Doug Schosser: Yes. We don't have anything planned. I mean there's still -- and we're always evaluating the opportunities that the market would give us. But I think right where the current portfolio stands. We also, as I mentioned at the beginning of the call, right, we had a change in our treasurer. So again, I think you should not expect to see anything dramatic from us in terms of restructures or things that we would be doing in the next quarter or 2, but we'll keep an eye out for opportunities. And if 1 becomes economically advantageous to us, we'll consider doing it.
Daniel Cardenas: And then with -- just going back to credit quality here quickly and the increase in the classified levels. Should we be thinking that maybe provisioning goes up a little bit if these classified levels can't come down? Is that kind of a good assumption here as we look into Q4?
Doug Schosser: So the provisioning has occurred for those credits quarterly migrated. At this point, I would not expect material increases in the provisioning for the long-term health care portfolio.
Daniel Cardenas: Wonderful. And then how many credits made up that increase?
Doug Schosser: Made up the classified loan level?
Daniel Cardenas: Yes, yes, sorry about that.
Doug Schosser: Here actually. Net-net, it was about 5 credits. But again, there were some that came in and some that went out. So we actually had more upgrades than downgrades.
Daniel Cardenas: And any geographic concentration in those 5 credits?
Doug Schosser: No.
Daniel Cardenas: And then quickly, just 1 other question in terms of potential de novo in Columbus and in the -- how long do you guys think it takes or historically, what has proven to be a kind of the breakeven period for de novos in your history.
Doug Schosser: Yes. I would say let us come back on that. So we're looking at that strategy right now, as you recall last time, we commented that we added York Bower to the team, long-term PNC consumer bank specialist. I think we want to give him some opportunity to continue to look through that de novo strategy and talk to us about how he's going to execute that. So we are considering taking out and going through an Investor Day at some point over the course of next year, at which point we could talk a little bit about those plans more holistically. So let's -- we'll take a pass on that question for right now, and we'll answer that with a little bit more detail when we're more ready to provide details on that strategy.
Thomas Creal: Just to clarify -- well, just to clarify my response on those numbers and classified, that was within the long-term health care portfolio. So follow-up with other total migrations.
Doug Schosser: Great. Thanks.
Operator: And there are no further questions at this time. This does conclude today's conference call, and you may now disconnect.